Operator: Good day, everyone, and welcome to Doximity's First Quarter 2026 Conference Call. At this time, I would like to hand the call over to Mr. Perry Gold. Please go ahead, sir.
Perry Scott Gold: Thank you, operator. Hello, and welcome to Doximity's Fiscal 2026 First Quarter Earnings Call. With me on the call today are Jeff Tangney, Co-Founder and CEO of Doximity; and Anna Bryson, CFO. A complete disclosure of our results can be found in our press release issued earlier today as well as in our related Form 8-K, along with a copy of our prepared remarks, all available on our website at investors.doximity.com. As a reminder, today's call is being recorded, and a replay will be available on our website. As part of our comments today, we will be making forward-looking statements. These statements are based on management's current views, expectations and assumptions and are subject to various risks and uncertainties. Actual results may differ materially, and we disclaim any obligation to update any forward-looking statements or outlook. Please refer to the risk factors in our annual report on Form 10-K, any subsequent Form 10-Qs and our other reports and filings with the SEC that may be filed from time to time, including our upcoming filing on Form 10-Q. Our forward-looking statements are based on assumptions that we believe to be reasonable as of today's date, August 07, 2025. Of note, it is Doximity's policy to neither reiterate nor adjust the financial guidance provided on today's call unless it is also done through a public disclosure such as a press release or through the filing of a Form 8-K. Today, we will discuss certain non-GAAP metrics that we believe aid in the understanding of our financial results. A historical reconciliation to comparable GAAP metrics can be found in today's earnings release. Finally, during the call, we may offer incremental metrics to provide greater insights into the dynamics of our business. These details may be onetime in nature, and we may or may not provide updates on those metrics in the future. I would now like to turn the call over to our Co-Founder and CEO, Jeff Tangney. Jeff?
Jeffrey A. Tangney: Thanks, Perry, and thank you, everyone, for joining our first quarter earnings call. We have 4 updates today, our financials, network growth, Scribe launch and Pathway AI acquisition. First, our top line. We delivered a $146 million in revenue for the first quarter of our fiscal 2026, which represents 15% year-on-year growth and a 4% beat from the high end of our guidance range. Our bottom line was also strong in Q1 with an adjusted EBITDA margin of 55% or $80 million, which was 11% above the high end of our guidance. Our adjusted EBITDA grew 21% year-on-year. Free cash flow growth was stronger still, up 52% year-on-year. In short, we had a better-than-expected Q1 and a nice start to our upsell season, led by our new products and portal. Our CFO, Anna, will provide more detail on this in a minute. Okay. Turning now to our network growth and engagement. Our unique active users on a quarterly, monthly and daily basis all hit fresh highs in Q1 and all grew double-digit percentages year-on-year. Our news feed also hit record highs with over 1 million quarterly active prescribers and double-digit percent growth in articles read or tapped. In Q1, a record 630,000 unique active prescribers used our workflow tools to provide better care for their patients. And once again, our AI tools grew the fastest, up more than 5x year-on-year. We're proud to be both the newsfeed of medicine and the mobile medical office app. Okay. Next up is our Doximity AI scribe, which launched last week. Over the past year, more than 10,000 physicians, PAs and NPs, helped us beta test it and our AI wrote millions and millions of patient notes for them. As one surgeon posted: "It's a game changer", a HIPAA-compliant ambient notetaking tool that's actually free, not hundreds of dollars per month. On average, doctors spend an 1.5 hours of so-called pajama time every night typing in their notes. So a good scribe can be life changing. One grateful primary care doc told us Scribe may have even saved her marriage. We're proud to help. And with over 75% of Scribe users returning each and every week, we are thrilled to add another very sticky tool to our workflow suite. The New England Journal of Medicine published an editorial last month titled: "Medical AI and Clinician Surveillance - the Risk of becoming Quantified Workers." It warned how IT-controlled scribes could effectively put a lawyer and administrator into every exam room, thereby reducing clinician autonomy and the empathy needed for a good medical visit. We agree. And so our scribe is fully controlled by the physician and fully private for their use. No one else is listening in. Our next step is to integrate Scribe directly into our popular telehealth tools, making it easier to do phone calls or virtual visits while taking notes all in one seamless interface. Last but not least, we're pleased to announce the acquisition of Pathway, a 6-person, 7-year- old Montreal start-up specializing in AI clinical reference. Trained at McGill, Johns Hopkins and Harvard, physicians make up half the team at Pathway. From a post-doc program at the prestigious Mila AI Institute, they founded Pathway 5 years before ChatGPT even existed to help answer the ICU bedside questions they faced every day. Together, they painstakingly built one of the best and largest medical AI data sets around, spanning nearly every guideline, drug, journal and landmark trial. They call this their corpus. And what makes it powerful is its cross-linked structure that lets AI quickly get accurate answers for doctors. It's much more than an LLM. It understands complex drug interactions and scores the strength of medical evidence, such as weighing a validated clinical trial more than a case study. The net result is industry-leading accuracy and speed. This May, Pathways AI model scored a record high 96% on the U.S. medical licensing exam, outperforming their competitors. With almost no marketing budget, Pathway has grown to hundreds of thousands of registered users worldwide with thousands paying $300 per year for their premium version. Above all, this AI-native acquihire has been a great culture and mission fit for us. Over the past month, we've spent many a late night working with the Pathway team at our San Francisco offices. They're smart, honest and hard working, and we just couldn't like them more. We've already learned a lot from John, Louis, Chris, [ Kutter, Hov ] and Peter. And yes, I'm calling them out here, not just to thank them, but also to help them get visas to move here. The fruits of our collaboration are already on display. In record time, our engineering teams have integrated Pathway's Corpus and fine-tuned AI into our free Doximity GPT product. Thousands of physician beta testers are already using it and liking its accuracy and speed. I'm personally excited to be back working in clinical reference again. It's where I began my career with Epocrates over 20 years ago. Clinical reference is a key part of physician workflow that once again seems right for tech innovation. Looking ahead, we believe clinical AI is still in its early innings. We recently surveyed 1,800 U.S. physicians and more than half have yet to use any clinical AI, but many are interested. We're here to help. We launched Doximity GPT, the first HIPAA-compliant physician AI just 3 months after ChatGPT is released. We've since learned a lot from our beta testers and physician advisory summit about what doctors want most from AI. So our physician AI suite is now taking shape. Scribe takes your notes, GPT writes your letters, Pathway's Corpus helps answer your questions and they all work together in a 3 HIPAA compliance suite that's private to each physician. In sum, we're excited to make AI our next act here at Doximity. Okay. As always, I'd like to end by thanking my Doximity teammates who continue to work incredibly hard to care for those who care for us. And with that, I'll hand it over to our CFO, Anna Bryson, to discuss our financials and guidance. Anna?
Anna Bryson: Thanks, Jeff, and thanks to everyone on the call today. First quarter revenue grew to $145.9 million, up 15% year-over-year and exceeding the high end of our guidance range. Similar to prior quarters, our existing customers continued to meet our growth. We finished the quarter with a net revenue retention rate of 118% on a trailing 12-month basis. For our top 20 customers, net revenue retention was higher at 119%, so our biggest, most sophisticated customers remain our fastest growing. We ended the quarter with 120 customers contributing at least $500,000 each in subscription-based revenue on a trailing 12-month basis. This is a roughly 17% increase from the 103 customers we had in this cohort a year ago, and these customers accounted for 84% of our total revenue. Turning to our profitability. Non-GAAP gross margin in the first quarter was 91% versus 92% in the prior year period. Adjusted EBITDA for the first quarter was $79.8 million, and adjusted EBITDA margin was 55% compared to $65.9 million and a 52% margin in the prior year period. We are proud to continue to run a very profitable business with margin expansion. Now turning to our balance sheet, cash flow and an update on our share repurchase program. We generated free cash flow in the first quarter of $60.1 million compared to $39.5 million in the prior year period, an increase of 52% year-over-year. Going forward, we expect our free cash flow to be positively impacted by the new tax law reversing the need to capitalize R&D. We expect our cash tax rate to drop to roughly 10% to 15% starting this fiscal year. We ended the quarter with $841 million of cash, cash equivalents and marketable securities. During the first quarter, we repurchased $122.3 million worth of shares at an average price of $53.99. We believe repurchasing our shares is a valuable use of the incremental cash we generate above what's needed to reinvest in the business. As of June 30, we had $302 million remaining in our existing repurchase program. Now I'll provide additional details on our Pathway acquisition as well as an update on stock-based compensation. We recently closed our acquisition of Pathway for $26 million in cash and up to $37 million in additional equity grants. Since we will offer our clinical reference tools free of charge, we expect no revenue contribution from Pathway this year. The non-GAAP expense impact will be modest, estimated at just over $2 million in fiscal 2026, primarily related to personnel and infrastructure costs. Additionally, we expect stock-based compensation to increase to the high teens as a percentage of revenue in fiscal 2026 and 2027 and then trend back down to the mid-teens starting in 2028. This is primarily the result of our Pathway acquisition as well as onetime performance-based grants for our growing AI team. That said, we expect dilution from these new awards to be more than offset by our share repurchases this year. Now moving on to our outlook. For the second fiscal quarter of 2026, we expect revenue in the range of $157 million to $158 million, representing 15% growth at the midpoint, and we expect adjusted EBITDA in the range of $87 million to $88 million, representing a 56% adjusted EBITDA margin. For the full fiscal year, we now expect revenue in the range of $628 million to $636 million, representing 11% growth at the midpoint. We now expect adjusted EBITDA in the range of $341 million to $349 million, representing a 55% adjusted EBITDA margin. Our increased outlook is due to broad-based strength across our entire business. Specific to our pharma customers, we saw a promising start to the upsell season, which we believe is due to a couple of factors. First, our expanded commercial product portfolio continues to resonate with clients. In Q1, both our workflow and newsfeed modules saw strong growth. Second, the client portal continues to provide deeper insights in the program performance and drive favorable purchasing decisions. In particular, by leveraging the portal, our agency partners have helped broaden our reach amongst SMB customers, contributing to bookings growth in this cohort of over 100% year-over-year in Q1. We are proud of our Q1 performance and are encouraged that despite the continued policy uncertainty, we have not yet seen any slowdown in our business. That said, we recognize there is still a lot of runway left in the year, and we will continue to take a measured approach to the revenue we have yet to book, which is reflected in our outlook for the back half of fiscal 2026. Looking ahead, we are incredibly excited by how our recent investments in AI, particularly our Pathway acquisition and the launch of Scribe will help drive our long-term growth. More importantly, we are excited to be building products that align with our mission of helping physicians be more productive so that they can provide better care for their patients. With that, I will turn it over to the operator for questions.
Operator: [Operator Instructions] The first question comes from Brian Peterson, Raymond James.
Brian Christopher Peterson: Congrats on a strong quarter. So clearly, you're increasing the value you provide to physicians, and that's not just pajama time. But as you think about this next chapter that you referenced, how can you frame the opportunity for investors as they think about Scribe, Pathway, DocsGPT. What does that open up for you? Is it right to think about that in terms of engagement or hours on the platform? I know it's early days. But I think that's something that will be discussed a lot with investors.
Jeffrey A. Tangney: Brian, this is Jeff. I'll take that question. And yes, we are happy to help doctors reduce their pajama time and improve their marriages too. A great moment hearing from that doctor using our Scribe product. And we're certainly very proud of our first 2 acts here as a company. The first act being our newsfeed and our LinkedIn style feature set, which has a record high over 1 million prescribers last quarter. And then our second act being our workflow tools, are scheduling, our fax, our telehealth, Doximity Dialer, which was 630,000 active prescribers last quarter. So I really think AI, these AI tools and AI suite could be our third act here. And that third act is answering the questions that doctors have when they're in front of patients. And it actually goes back to my roots, where I began in this whole business 20 years ago, which was following my Stanford physician roommates around and emptying out their lab coat pockets and seeing what kind of questions and what sort of books they carried around with them in the hospital. And as it turned out, the book that most doctors carried with them was Pharmacopoeia, which we then turned into a mobile app on the BlackBerry and then the iPhone and really, I think, disrupted the way doctors are able to carry a whole library in their pockets. Nowadays, if you were to ask doctors what they need help with answering questions, it really is the list of apps that are on their phone. Epocrates is my last company being one of the main players there. But we really see AI taking this to the next level. And so the Scribe product where I'm able to write notes from the visit, we'll be able to know what types of clinical questions I'm facing and what sort of notes I might need to write afterwards. And so the GPT, which helps doctors write, the Scribe which helps doctors take notes and then the Pathway acquisition, which answers their clinical questions and guidelines and drug dosage questions. All of that, I think, will work together seamlessly and provide an opportunity that I think is, in many ways, as big or perhaps even bigger than our first 2 acts, specifically because this gets to the core of search. This gets to the core of doctors answering questions in front of patients, which is a very valuable moment for the industry, as I learned in my last company.
Brian Christopher Peterson: Appreciate the color. And Anna, maybe just a follow-up for you on the guide for the second half of the year. I know that implies a deceleration. Is there anything that you're hearing from customers on budget flush or March ramps in the next calendar year? Any help there?
Anna Bryson: Yes. Thanks for the question, Brian. And as we mentioned in the prepared remarks, we had a very strong Q1, but Q1 is our smallest bookings quarter of the year. And we don't believe that in this environment, we should necessarily take 1 quarter's outperformance and extrapolate that forward for the rest of the year. So that's what's reflected in our back half guidance. What I will say is that we have not yet seen any slowdown in our business. Our business still remains incredibly strong and our client's budget actually remained stronger than we initially expected. But simply given the fact that there's so much runway left in a year, and there continues to be policy uncertainty, we're just taking a much more cautious approach to the dollars we have not yet booked.
Operator: Next, we'll take a question from Michael Cherny, Leerink Partners.
Michael Aaron Cherny: Congrats on a nice quarter. Maybe if I can just dig a little bit more into the upsell that you saw in the quarter. As you compare it to previous years, especially now with the portal in place and helping to guide the upsell, any qualitative differences in terms of the types of customers that you're engaging with, whether they're on the higher or lower side in terms of sizing? And how exactly is the portal a leading or lagging indicator, i.e., were they using the portal to drive the upsell or do they engage in the upsell and then that allows you to resell them on the portal or show them all the advancements? Just curious on some more color there would be great.
Anna Bryson: Yes. Mike, thanks for the question. I think one of the things, first and foremost, that's been pretty unique this year for upsell cycle is that all aspects of our business are performing well. So we have our SMB customers, as we mentioned, that are growing quickly, and I'll get to the portal in a minute there. We also have both our news and workflow modules getting very good traction, which is an uptick in some of our investments in news modules. And then our health system customers are outperforming our expectations as well. So I think what's unique about this upsell cycle is that the strength is so broad-based. And when it comes to the client portal and the way in which it's helping us, I think the insights and the recommendations that we've been able to share, we now have the lion's share of brands on the portal has really been a game changer as our customers think about maximizing their ROI. And so that's helped our SMB customers grow over 100% year-over-year in Q1. And in addition to the portal, the other thing I'll call out is, I think what's unique now is we have a diversified commercial product portfolio that's allowing our customers to maximize reach and frequency across our entire platform. So the workflow modules and the news feed modules have really been heavily leaned into. So across the board, it's been a really strong upsell season, which has been unique because I don't think we've seen this broad-based of strength. There's always been one thing that might be less strong. We haven't seen this broad base of strength in a while.
Operator: The next question comes from Elizabeth Anderson at Evercore ISI.
Elizabeth Hammell Anderson: Congrats on the quarter and thanks for the question. So I Guess one thing and these questions are a 2-part question, but maybe they're related too. Like you talked about, and you've obviously been talking for several quarters about the drivers of increased utilization. I think maybe it's some of these newer products that you launched that helped it, but I'd be curious just if you could talk maybe, Jeff, a little bit more like holistically about how you think about the drivers of that provider -- like continued provider use of the products like more frequently, if that makes sense.
Jeffrey A. Tangney: Sure, Elizabeth. Yes, it's a great question. Yes, as we said in the prepared remarks, we've seen record highs here really across all of our products. So let me start about some of the things -- some of the key drivers there. So first, in our workflow tools, our scheduler continues to grow and scheduling is something doctors really have to check every day. They need to know what time their shift starts. They need to know which cardiologist is on call. It's a very sticky product, and we're just pleased to see that continue to notch up new client wins. Every new schedule we get is another set of 100 or 200 or 500 doctors who we know we'll be using our products every day. On our telehealth front, we continue to sign new clients there. Our Doximity dialer package has never seen so many clients or over 200 health systems now, roughly 45% of all U.S. physicians have a paid version of our Doximity Dialer telehealth platform. And that's also a very frequent use case. We're seeing doctors start to settle into the 1-day a week of sort of work from home and do their telehealth. And that's good for us because we're the platform that often powers that. The newsfeed does sometimes feed off of that workflow use. But I would say that, that team has continued to grow on its own. And what it boils down to is 10 years of first-party data, knowing what doctors are interested in what types of clinical news and just knowing best how to sort through all of the new journal articles that are published every week, every day and help folks out with those. I will say AI has really helped that team a lot. We've used machine learning for a long time to algorithmically determine the best articles in the newsfeed for each doctor, but now we're using generative AI to go and actually rewrite the headlines in a way that's more digestible and frankly, more interesting than the typical medical journal style and format. And that's also led to, I think, continued growth there. Last note on newsfeed. In the end, I think, we're all, as a society, learning how to choose our information diet. We have information that can come in from every direction. And I think doctors are choosing to use us because we provide them a newsfeed that helps them be a better physician in their area of subspecialty and practice without a lot of the noise, I think, of other social media sources. So that's I hope it gives you some sense in the drivers behind our core product growth.
Elizabeth Hammell Anderson: Yes. No, that's super helpful. And you guys obviously have a very substantial EBITDA margins already. But I think you've talked about some of the AI products and how they're helping on sort of the revenue line and the product dimension. Can you talk a little bit about the opportunity on the OpEx side as well and sort of internal uses of AI as well?
Anna Bryson: Yes. Thanks for the question, Elizabeth. It's actually one of my favorite things to talk about. So I'm glad you asked. We're definitely leaning heavily into AI as a company for physicians, as Jeff was just talking about, for customers in the form of our integrated multi- module programs and our client portal and then for our own internal productivity. So you'll notice that our headcount at Doximity has remained relatively flat over the last 2 years, even while we've grown the business as quickly as we have. So the fact that we are leaning into AI across our internal teams, whether it's sales and marketing, in G&A, we use it with contract reviews, R&D, use it to supercharge programming. I think we're still in the early days of what that means for long-term margins. We haven't yet had enough time to assess how that might impact long-term margins. That said, I think it only contributes to a more efficient business model. And as we're guiding to a year of 55% growth despite all of our investments in AI, I think that just speaks to how these AI tools that we've used internally have really boosted our productivity.
Operator: Your next question is from Ryan Daniels from William Blair.
Ryan Scott Daniels: Yes. Congrats on the quarter and the deal. And thanks for taking the questions. If we think about the new AI offering, really compelling if we think of Doximity GPT, the AI Scribe and Pathways clinical tools. I'm curious if eventually you see that turning more into a revenue generation opportunity as a stand-alone product similar to how you've relaunched the Dialer and then went to an enterprise model and have started to generate sales from that?
Jeffrey A. Tangney: Yes. Thanks, Ryan. This is Jeff. Good question. We do see this being a lot like -- sorry, I have a bit of feedback there. We do see this being a lot like our dialer product, which did begin as a free product, but then became an enterprise product. And of course, has become a successful revenue stream in of its own right. We certainly see opportunities and in fact, have already been approached by a couple of our Dialer clients about that for Scribe. And we are in discussions. We're certainly pleased that Pathway has shown that they've gotten thousands of doctors to pay $300 per year for their clinical products, and we view that as another long-term opportunity for enterprise direct subscription revenue. So the short answer is, I think you can expect us to approach just like we did with Dialer, which took a couple of years for us to go from initial free product to then the more enterprise premium versions?
Ryan Scott Daniels: Okay. Perfect. And then maybe a follow-up for Anna. I don't know if I missed this earlier, but last quarter, you gave us the percentage of revenue for the year you have under contract, I think it was around 70%. I'd love to get an update there. It sounds like that might have moved up given the strong and broad upsells that you're seeing, which is great.
Anna Bryson: Yes. Thanks for the question, Ryan. And as you mentioned, we started the year with just under 70% of our subscription-based revenue under contract. Naturally, today, we're quite a bit higher. We're not going to give that exact number every quarter. But what I will say is the remainder of the year is primarily dependent on renewals, given our guidance continues to take a cautious approach to the policy uncertainty that our customers face today and the revenue we have yet to book. So we feel very confident in where we are as far as a percent under contract perspective today.
Operator: Next, we'll hear from Allen Lutz from Bank of America.
Allen Charles Lutz: Jeff, a question for you. I know it's early, but would love to get a sense of the super users of DocsGPT and maybe even describe the workflow tools, the AI tools. How long are some of these doctors on the platform using these workflow tools? Because I would think that it's a lot different than the newsfeed, which might be more episodic, whereas the workflow tools and maybe DocsGPT is more structured into the workflow of their life as a physician. Would love to get a sense from you what is that relative time on the platform or expectations for some of these super users of DocsGPT versus the newsfeed as we try to think about what the revenue generation opportunities could be for these over a longer period of time.
Jeffrey A. Tangney: Yes. No, thanks for the question. So as we said in our prepared remarks, over 75% of our Scribe users use us every week. So again, we're pleased to add another very sticky workflow product in our Scribe product. It's interesting, you mentioned times of day. Our products seem to fall into really all times a day by the time you put them together. So I'll say the newsfeed is before work and after work. And in a sad statement on doctor social lives in the evenings on weekends. It's a good time to catch up and read the latest medical journals and stay up to date. Our telehealth products, of course, are during the 9 to 5 and tend to be again, clustered around a given day of the week, depending on that doctor's work schedule and when things flow out. The scheduling product really is an everyday 9 to 5, the Scribe product in everyday 9 to 5, the GPT product in everyday 9 to 5. So you put it all together, we're an app that gets opened by our doctors first thing in the morning to catch up on the news, all during the day to do their work and then in the evenings and weekends, again, to stay up to date on the latest clinical advancements.
Allen Charles Lutz: Appreciate that. And then one for Anna. On Pathway, I just want to verify that the OpEx from that deal is in the updated guidance? And then is there any way to frame kind of what the costs are that are going to flow through the P&L for that business over the remainder of the year?
Anna Bryson: Yes. Thanks for the question, Allen. So Pathway, as we mentioned in the prepared remarks, is going to add just over $2 million to our OpEx for the year. Just as a reminder, it's a 6-person company. So there's not much in the way of personnel. There's a little bit in the way of infrastructure costs. But as we go forward, I would expect that to be a pretty good run rate. So I would not assume much in the OpEx category from the Pathway acquisition.
Operator: The next question is from David Roman, Goldman Sachs.
Unidentified Analyst: This is [ Jamie Perse ] on for David. I wanted to go back to one of the comments made in the script just around agency bookings. You said this was opening up the small and medium-sized business opportunity for you that had grown 100% in the quarter. Can you just give us some context on whatever stats are most relevant, but what percent of the agency market you're engaging with today, where that can go over time, just to give us a sense of the opportunity that you see over the next 1 to 2 years?
Perry Scott Gold: Jamie, it's Perry. I can actually help with this one. So on the agency partners, in short, the program is going really well. We're now at more than a dozen agency portal partners that signed on, and they've already brought us more than $5 million of business since the start of the program. So we hope to continue to grow the program. And so far, it's gone very well for us.
Unidentified Analyst: Okay. And then just a question on guidance and specifically OpEx priorities for the year. So your updated guidance implies about 11.5% revenue growth for the year and about 10% EBITDA growth. So really no operating leverage. You obviously delivered very strong operating leverage in the first quarter. I know there's the $2 million from Pathway embedded in numbers, but it really doesn't explain the lack of leverage in the back half. So are there specific investments across the P&L you're contemplating for the balance of the year? Just any color on how we should think about those P&L investments.
Anna Bryson: Yes. Thanks for the question. And this is something we talked a little bit about last quarter as well when we were giving our initial guidance. We are definitely investing in AI this year. This is our year of AI investments. So there's going to be some incremental investments related to powering our AI solutions for our physicians. So that's costs that relate to developing functionality, content licensing, increased usage, et cetera. So that is what you're seeing as far as the expense growth. All of our AI investments are tracking to what we initially believed to start the year. And we feel as though the fact that we can invest as we are in such a game changer of a solution for us that really is to become a third act and still maintain a 55% adjusted EBITDA margin really just speaks to the inherent efficiency in our business.
Operator: Ryan MacDonald from Needham has the next question.
Ryan Michael MacDonald: I apologize if it's been asked already. But on the Pathway acquisition, just curious how you're planning to sort of integrate that into Doximity. Do you expect it to be sort of an extension of the core newsfeed? And then second, with the sort of strong success we've seen out of open evidence and sort of broad usage from doctors or rapid growth there, how much sort of brand awareness do you feel like you have to build with the Pathway product to maybe rebuild within physicians moving forward?
Jeffrey A. Tangney: Ryan, this is Jeff. I'll take that. So yes, we're excited about the integration success we've had with the Pathway acquisition already. As we mentioned in our prepared remarks, the product has already been largely integrated. The team's been working super hard on it. I think we've got 6 months' worth of integration work done in just a matter of a few weeks with the great team that we've brought on there. We've got about 50 of our team engineers focused on the AI and sort of a start-up -- inside a start-up and bringing us a lot of growth and energy there. We are going to make it free. So we're not going to charge the $300 per year the Pathway has been charging. We are putting it inside our Doximity GPT product, which already has a decent user base, as we've mentioned, they have 5x growth year-on- year. And that just provides one box for doctors to go ask whatever type of question they have, be it clinical or administrative. And we see that the AI actually does a very good job of differentiating which question type is there and giving the appropriate type response, for physicians on it. We think we bought the best company in the medical AI search space. We've looked high and low, and it's shown in their 96% best- in-class 5% above others on the U.S. MOE. And when you dig in a little deeper level here, again, having worked in this industry for a decade myself, it really boils down to having gone through and codified, summarized thousands of randomly controlled landmark trials, thousands of clinical guidelines, thousands of drugs and doses at a discrete level. This data set that is built for AI to be fast and accurate. We think in the long term will be the winner here. And we're excited to get up every day and deliver that for our doctors. We think, again, we think we can build this to be the leader in the space.
Operator: The next question is from Steven Valiquette from Mizuho Securities.
Steven James Valiquette: Great. So we recently did some survey work with physicians that use Doximity, just to ask them, what is the #1 feature they use most on the app. And while professional physician networking was still the most widely used feature, at least in our survey, I was surprised just how fairly evenly spread the results were for the #1 spot on usage across categories like physician networking versus telehealth dialer versus newsfeed, AI running tool, et cetera. So really, the question is, I guess I'm curious how that compares to your own internal views as far as what's the most widely used? And also, do you think any one of the newer features will eventually become #1, most used feature going forward just from your own perspective?
Jeffrey A. Tangney: Thanks Steven. This is Jeff. Yes, your survey matches largely with our own internal data on the topic. We divide up our teams by product into what we call news network workflow. They each have their own BP and each of those teams are relatively evenly balanced when you look at their numbers and their resources on our end. So we do think it's a diversified platform. And as we see new competitors and others come in, we see them bringing new features, new point solutions, but again, not having the ability to provide that across an identity graph and a clinical graph and 10 years of knowing what each doctor treats the most and what is most interesting to them. So yes, we're pleased to have a diversified platform that is so evenly balanced as your survey indicates.
Operator: Scott Schoenhaus from KeyBanc is up next.
Scott Anthony Schoenhaus: If we take a step back even from a year ago, but broadly several years ago, it seems like you guys have a lot more visibility into your business, which must help you as a CFO. Can you maybe talk about the steps that you currently put in place, whether it be pulling contracts for [ January 1 ] start date, more broader rolling out of the client portal? And maybe what steps you could take further for increased visibility.
Anna Bryson: Yes. Thanks for the question, Scott. And I'm glad you hit on that because it's absolutely correct. We absolutely have better visibility than we've ever had here at Doximity. Now I'll say a part of that is due to the stability in our clients' budgets. At the end of the day, our growth rate is always going to be underpinned by how our clients are growing. So we've seen a lot of stability there over the last year or 2, which has certainly helped. But we've made great strides ourselves. So you mentioned our January starts, as we push more customers towards these multi-module integrated programs, we're really excited to see the fact that they're signing up for longer deals, they're starting right away, and it's providing us a lot more visibility as we think out the next 12 months. Additionally, with our client portal, being able to see what our clients are doing in the portal has actually helped us with our visibility in the upsell cycle. And so I think we're just going to continue to get a little smarter there and then also continue to see more clients lean into these integrated programs that I just mentioned. We definitely believe the upfront this year will continue to be led by these integrated offerings. So more customers on these 12-month programs, definitely better for our visibility. So we're really excited by what we're seeing there.
Operator: Next up is Alexei Gogolev from JPMorgan.
Unidentified Analyst: [indiscernible] on for Alexei. You mentioned that your health system customers are outperforming expectations. Can you speak to the recovery you're seeing in the Provider Solutions business? And just any additional color on its current state?
Anna Bryson: Sure. I think -- sorry, you cut out a little bit, but I think you asked about our health system customers and the fact that we're seeing the outperformance there. So I'll start by saying our pharma business still is primarily leading our growth. But we've definitely seen an improvement in our health system business across the board. So we've had really good traction amongst all 3 of our solutions, our marketing, our hiring and our enterprise solution. One of the brighter spots is our enterprise offering, which grows really nicely for us lately. We've signed up 17 of the top 20 health systems. And we've seen pretty strong paid adoption recently as well of our on-call scheduling tool. So we're really pleased by what we're seeing with health systems. I will just caution and say when it comes to the policy uncertainty, they're definitely right in it. So while we remain cautiously optimistic that our health system business will continue to do well, we're not assuming that in our guidance because we are aware of the policy uncertainty they're seeing.
Operator: The next question today comes from Brian Tanquilut with Jefferies.
Brian Gil Tanquilut: Congrats on the quarter. Maybe just curious if you can share with us what you're seeing in the curative segment. Just anything you can share with us on trends there.
Anna Bryson: Yes. Thanks for the question, Brian. You can see this actually broken out in other revenue in our financials and our 10-Q. But we have a strong quarter. So Curative, which is our full-service physician staffing firm makes up the bulk of that other revenue, and it grew roughly 20% year-over-year in Q1. So we're definitely seeing some nice traction there. We're excited by how AI can further enhance recruiting. And I'm glad you asked about it because it's just -- it's a good moment to take a reminder and say, the locums industry itself is a multibillion-dollar industry and growing quite quickly. So we definitely believe this is a really strong long-term opportunity for Doximity.
Operator: Craig Hettenbach from Morgan Stanley has the next question.
Craig Matthew Hettenbach: I have a question on just the newsfeed understanding that video modules continue to gain momentum and increasingly important growth driver. Just looking for how the newsfeed is performing and any new developments there to call out?
Jeffrey A. Tangney: I was just going to say, I appreciate you calling out the video is an important piece of our growth there. And certainly, clients, I think, historically, pharmaceutical companies have not had a lot of video assets that were highly engaging. And AI is helping them and their agency partners create good shorter video segments that highlight a mechanism of action or some other scientific chart. And so we've seen those perform better in our newsfeed over time. But I mean, the main stat is what we shared in the prepared remarks, which is we had a record high number of quarterly active prescribers in our newsfeed this last quarter. And also, we've seen strong double-digit growth -- percent growth in our number of articles tapped or watched.
Craig Matthew Hettenbach: Got it. And then just as a follow-up, more broadly, just on the macro, kind of the 5% to 7% industry growth last quarter kind of pointed towards the low end given uncertainty. Just kind of curious, 90 days later, what you're seeing in the market from customers? And does that change any view in terms of maybe the shape of the year or not?
Anna Bryson: Craig, thanks for the question. As we sit here today, as our results obviously show and our guidance for Q2 shows, things are definitely looking better than we had initially expected. But as I mentioned in the prepared remarks, there's still a ton of runway left in the year. And the policy uncertainty has not gone away. It hasn't changed much in the last 90 days or so here. It kind of remains as an overhang. So while we're very encouraged that we have seen this marginal improvement over the last 90 days, our back half guidance still is going to take that measured approach to our clients' budgets, just once again, given the fact that there remains this policy uncertainty. So likely, as we kind of think about that 5% to 7% forecast range, it's definitely come up a little bit. You can see that in our guidance from what we initially expected. But we still think that's the right range to think about from a budget growth perspective.
Operator: Your next question is from Jessica Tassan, Piper Sandler.
Jessica Elizabeth Tassan: Congrats on the acquisition. I was hoping on the Ambient Scribe technology, could you maybe help us understand the workflow? So how does the note get from the app into the EHR? And is the content of the note then pulled directly into a claim? And then also, would love to know, as your Ambient Scribe kind of prompting the doc throughout the visit to check for certain symptoms, ask certain questions or conduct certain diagnostics either for clinical accuracy or for revenue cycle -- optimization?
Jeffrey A. Tangney: Jess, this is Jeff. I'll answer that. So the way our flow works today for our 10,000 beta testers has been to use their phone or their laptop, either one as the microphone to listen in on the visit and then write the notes at the end of the visit. The doctor can choose any time during the visit, what type of note or what type of template they want to choose. And this is where I think we've taken a slightly more open source approach, letting doctors actually work on their own instructions and templates, basically train their own scribe in the way that they prefer for their note types. That's probably been the key area of technology. I think we've developed is we've made it easier for doctors to make sure the note is written in the way that they individually prefer given their subspecialty and their practice. And we made it easy for them then to share that note template and style with others in their practice, which allows the more tech-savvy doctors, I think, to help others in their practice. Most of our 10,000 beta testers actually came in, not from us reaching out to them, but from them asking for others to come in. So it's word-of-mouth growth has been strong. In terms of how that gets into the EHR, it's a cut paste. And that isn't -- that is one step to add to a process. But interestingly, when we talk to doctors about this, there's already so many steps, 19 clicks to order a Tylenol in a lot of these systems that one cut paste really isn't that much to add. That said, we are in active discussions, and we will certainly work on EHR integrations to make that one copy paste also be automated in the future.
Jessica Elizabeth Tassan: Got it. And then that's really helpful on Scribe. So with workflow, you obviously have the super synergistic HIPAA-compliant HCP- oriented kind of one-stop shop. On use case, do you envision the workflow suite on an iPhone kind of supporting providers in their digital visits and ambulatory settings? Or does the iPhone plays just as big a role in the acute care setting? Or are we ultimately shooting for EHR integration? Just would love to understand kind of where you imagine workflow, really capturing the market in the next 3 to 5 years?
Jeffrey A. Tangney: Thanks, Jess. You're right that the iPhone is a key piece of technology for doctors, right? It's become their peripheral brain. That's what we call the back at Epocrates. And that was, boy, 12 years ago, it's become a bigger and bigger part of their overall practice. And I think especially as they train their Scribes to write notes the way they want and use it to just ask natural language questions, which will deliver up AI-driven answers to, it will continue to be a core part of being a physician. I'd just say in terms of the long-term, 5-year sort of vision, you could see it today in our iPhone app. If you go and look at the widgets that we offer, it's just the little 4-square of widgets where doctors are choosing to not just have one app icon on their home screen, but 4 for us. The first is the newsfeed, time to catch up. The second is their Scribe, our time to record a visit. The third is the dialer, need to call the patient, start a telehealth visit. And the fourth is our AskGPT, the ask a clinical question. And I do think that will be a synergistic AI suite for us as doctors again use us to do their daily workflow.
Operator: The next question comes from Stan Berenshteyn with Wells Fargo Securities.
Stanislav Berenshteyn: First, on the AI Scribe. So it's given away for free. Presumably, there are costs to deliver the Scribe service. I'm just wondering, if this becomes heavily utilized, are there any pressures to gross margins that could emerge into the high utilization?
Jeffrey A. Tangney: Stan, this is Jeff. Yes, I'm glad you asked that question because one of the limiting factors, I think we had a year or 2 ago with Scribe was the cost of medical-grade transcription and medical-grade, HIPAA-grade LLM use. Thankfully, for us, those costs have come down dramatically. There's been a lot of competition in the market, and our expectation is they'll continue to come down. So we're in the pennies per visit camp on this now, which is similar to where we're at with our Dialer product. And so we don't see the cost there being a barrier given our business model.
Stanislav Berenshteyn: Great. And then a quick follow-up to Scott's question on visibility. So just tying this into the portal, it's been widely adopted a lot of the brands already on there. The portal allows for faster ROI measurement. You have more modulation and the type of speed you can have. Are you seeing any signs that pharma is actually using the portal to adjust their budgets like intra-quarter more frequently? Or have budgets really been steady overall, not impacted by that capability?
Perry Scott Gold: Sam, it's Perry. I'll take that one. Yes, as you said, the lion's share of our pharma brands are now on the portal. It's actually pretty impressive given the denominator of the total number of pharma brands grew a lot last year, driven by SMB. So it's really -- the sales team works with the clients, and it's really a recommendations tab that allows their sales team to seamlessly propose new deals, upsells and respond to pricing requests. So not only is this increasing our conversion rates, but it's leading to larger sales and a more efficient sales motion. And our brands continue to benefit from our frequent ROI updates and our audience insights.
Operator: The next question today is David Larsen, BTIG.
David Michael Larsen: Congratulations on a great quarter. Just how many clients are now using the self-service portal? Is it like over 80%?
Anna Bryson: I can take that one, David. Yes, it's the majority.
David Michael Larsen: Okay. And then just in terms of like the macro and the risk of tariffs, I think what I heard was your guide does include the risk of some headwinds. So if things come in better than expected as you progress through the year, there could be some upside, I would imagine?
Anna Bryson: Yes, I think that's a fair way to think about it, David. I think what's interesting right now is, especially in the pharma space is there's a lot being discussed in the way of policy changes that could be headwinds to our business or ones that could be tailwinds to our business, such as the potential DTC ban. So I definitely think if we end up seeing stable budgets through this period, we could see some upside to our business. And even if I just want to make a long-term comment here, even if there are some policy changes that disrupt pharma, we have to remember that pharma companies in general, spend tens of billions of dollars on sales and marketing. And if anything, we believe that in a more efficiency-focused environment, while there could be some near-term disruption our customers will lean into spending dollars on the highest ROI channels such as Doximity. So we feel like regardless of what happens with policy, we are very, very well positioned for the long term, just given our industry-leading ROI.
Operator: Next question today comes from Jailendra Singh from Truist Securities.
Unidentified Analyst: This is Jenny on for Jailendra. I was curious if you're seeing any differences in spending or initiatives across customers. So I know a lot of large pharma companies are facing upcoming LOEs. Just wondering if you're seeing that influence how they allocate HCP marketing budgets or try to maximize patient reach and engagement in the final years before that loss of exclusivity. Could that dynamic create a tailwind for Doximity?
Anna Bryson: Yes. Thanks for the question, Jenny. I think back to kind of some of the stuff we talked about earlier, what's really unique with what we're seeing with our clients right now is how broad-based the strength is. So we're doing very well at top 20 pharma. We're doing very well with mid-tier pharma and then doing very well with the long-tail SMB. As we think about where drugs might be in their life cycle, a lot of drugs continue to spend very evenly towards kind of the those end stages on Doximity. But what's more interesting, I think, is the drugs that are coming to market. And a lot of these drugs are coming to market with a digital-first strategy, which is something we just hadn't seen before. So they're choosing to spend more on digital than they are on their sales force. And that's a huge benefit for Doximity. So as more and more of these drugs launch, we're capturing a larger share of their budget very quickly, and that's allowing us to scale. So I think we're in a really good position from a tailwind perspective as we continue to see innovation in the pharma market and more brands come to market.
Unidentified Analyst: Got it. And just a quick follow-up. I mean players across the broader pharma space is lagging midsized companies as relatively more stable in terms of spend and decision-making. Just from your vantage point, are you seeing a similar trend driving the momentum that you saw in the SMB space this quarter?
Anna Bryson: Yes, thanks for the question there, Jenny. I mean we've definitely seen better, better stability in SMB than we've seen since, I'd say, pre-COVID. We saw a little bit of a pullback post-COVID, but mid-tier and SMB have, I'll say, kind of come roaring back here over the past 6 to 9 months for us. So that's been a really, really nice tailwind for our business. And I think it's the first time back to what I mentioned earlier, it's the first time since COVID that we've seen every single aspect of our pharma business firing on all cylinders. So we're really excited with what we're seeing.
Perry Scott Gold: Jenny, it's Perry. I'll just hop in and add. We think these SMBs are just much more keenly aware of how critical digital has become to pharma commercialization efforts, even if they don't have a massive budget. And we think, hopefully, that's a development that will have stability going forward.
Operator: Everyone at this time, there are no further questions. I would like to hand back to Jeffrey Tangney for any additional or closing remarks.
Jeffrey A. Tangney: Well, thank you, everyone, for joining our Q1 call. I just want to end again by thanking our entire Doximity team for continuing to work so incredibly hard to take care of those and take care of us. Thank you, everybody.
Operator: And again, everyone, that does conclude today's conference. We would like to thank you all for your participation today. You may now disconnect.